Operator: Good afternoon everyone and welcome to the Greenhill First Quarter Earnings Conference Call. All participants will be in a listen-only mode. [Operator Instructions] Please also note that today's event is being recorded. At this time, I would like to turn the conference call over to Mr. Chris Grubb, Chief Financial Officer. Sir, please go ahead.
Christopher Grubb: Thank you. Good afternoon and thank you all for joining us today for Greenhill's first quarter 2016 financial results conference call. I am Chris Grubb, Greenhill's Chief Financial Officer and joining me on the call today is Scott Bok, our Chief Executive Officer. Today's call may include forward-looking statements. These statements are based on our current expectations regarding future events that, by their nature, are outside the firm's control and are subject to known and unknown risks, uncertainties and assumptions. The firm's actual results and financial condition may differ, possibly materially, from what is indicated in those forward-looking statements. For a discussion of some of the risks and factors that could affect the firm's future results, please see our filings with the Securities and Exchange Commission, including our annual report on Form 10-K, quarterly reports on Form 10-Q and current reports on Form 8-K. Neither we nor any other person assumes responsibility for the accuracy or completeness of any of these forward-looking statements. You should not rely upon forward looking statements as predictions of future events. We are under no duty to update any of these forward-looking statements after the date on which they are made. I would now like to turn the call over to Scott Bok.
Scott Bok: Thank you, Chris. In the first quarter, we achieved revenue of $67 million which is 8% higher than last year's first quarter result despite the fact that almost none of our large pending transaction assignments got to completion in the quarter and the fact that market volatility resulted in a slow start to the year in terms of new deal announcements. Our compensation ratio for the quarter was higher than typical, but should decline to a more normal level over the course of the year. Our non-compensation costs were lower in absolute terms than last year's run rate as we have suggested they would be. Together those costs resulted in a pretax profit margin of 10% for the quarter. As always with us those figures reflect all GAAP compensation of the costs with not pro forma exclusions. Our tax rate was lower than usual at 33% given the regional sources of our revenue. Our earnings per share for the quarter was $0.14 and our cash flow was sufficient to pay our dividend and repurchase a modest amount of stock by means of tax withholding on restricted stock that vested. I will provide some color on the market environment, our sources of revenue and the revenue outlook and Chris will then speak further to costs and balance sheet matters. In terms of the environment, I am sure everyone would agree the deal activity of all kind got off to a much slower start this year than anyone had predicted likely because of the extraordinary volatility in stock, credit and commodity markets. To give you some specifics on that, consider then in the first quarter the number of announced deals globally with the size of $500 million or greater was at a level that if the same pace continued throughout the year would result in about a third fewer such deals than last year. For deals with a European acquire or target of that size, the first quarter pace would lead to fewer such deals in more than 20 years, and the data is similarly weak in many other markets around the world. Notwithstanding that very slow start to the year in new deal announcements, there are several positive points worth noting. First, the market volatility has had little if any impact on our transactions that were announced last year and have continued to work through the regulatory review process. That means there is a significant backlog of large pending transactions with which we entered the year remains intact. Though almost none of those transactions made it to completion in the first quarter, our expectations for a strong first half revenue result remained in place though the final outcome will obviously depend on how many large transactions get to completion during the second quarter. Second, the extreme market volatility over the first couple months of the year seems to have subsided. Equity markets are now about flat for the year and credit markets have recovered to some degree which should set the stage for increased deal announcement activity generally. In other words, we remain fairly optimistic about M&A activity going forward. Just as last year we saw headlines overstated the strength of the M&A market based on a small number of mega transactions, this year we think headlines are overstating the weakness of the M&A market based on the unraveling of a couple large deals and the absence of new announced mega transactions in the year-to-date. Third and most important, our own book of active transaction assignments suggest that client interest in strategic M&A activity remained strong and that should translate into more transaction announcements for our firm. And it is noteworthy that we seem to have more assignments with large fee potential today than has been the case for many years. So it is conceivable that we could have a much improved revenue outcome even with a smaller number of completed transactions. In particular, we are seeing good opportunities in the U.S. and in continental Europe and the UK, though Britain's upcoming vote on leaving the European Union could impact the timing of new transactions in some cases. Particularly, active sectors for M&A include healthcare and industrials and we continue to believe that the energy sector will be important for both M&A and restructuring for the foreseeable future. With respect to our capital advisory business, the market volatility at the beginning of year led to a quiet quarter in terms of primary capital raising; but we still expect another solid year from that business. Meanwhile, our secondary team at Greenhill Cogent had another strong quarter. The performance of that team has been strong and surprisingly consistent for each of the four quarters since we acquired that business and we continue to believe, both that this group has great long-term revenue potential and that it is an excellent cultural and strategic fit within our firm. We recognize that much of what I've referred to is not externally visible based on public information that investors and analysts can see and that is why with the caveat that our results are always dependent on the outcome of numerous complex transaction discussions and therefore are inherently unpredictable, we made a point in our press release of noting that external expectations for our revenue growth potential appear to have gotten to a point that was too low by a significant margin for the first quarter and also too low by significant margin for the full year ahead. Given our revenue expectation and the nature of our cost structure, we continue to expect significant improvement in our profit margin for the full year and that combined with a lower expected tax rate gives us continued confidence in our ability to generate improved earnings and considerably more cash than necessary to maintain our dividend. We also continue to target a flat share count relative to the time of our 2004 IPO and it is worth noting that we are not far from that position today. The timing of share purchases to move us further in that direction is dependent as always on the timing of transaction completions. Now I'll turn it over to Chris.
Christopher Grubb: Thank you. I will now go into a bit more detail on compensation costs, non-compensation costs, tax rate and capital management and balance sheet matters. Starting with compensation costs, our compensation expense ratio for the quarter was 67%, higher than normal due to increased compensation relative to the first quarter revenue level. For the full year, we expect this ratio to decline to a level slightly lower than last year, while at the same time providing for increased compensation for our key people assuming revenue for the year develops as we expect. If key transactions closed in line with the timing publicly indicated by our clients, shareholders should see this already as of midyear. Consistent with our historical approach, we include all GAAP compensation costs in these figures, which means that unlike many of our peers we include all recruiting, severance, acquisitions and related personnel expenses, when discussing our compensation ratio. Moving to our non-compensation costs, our non-comp costs were $16 million for the quarter down slightly relative to last year despite the addition of Greenhill Cogent related operating expenses since the start of last year's second quarter. We said last quarter that we expect our non-compensation expenses for 2016 in absolute terms to be similar to or slightly lower than last year and we continue to expect that outcome. In terms of our non-compensation expense ratio, obviously the relatively fixed nature of our non-comp cost structure implies that this cost ratio would come down significantly at higher revenue outcomes. Touching briefly on the tax rate, we said last quarter that we expect our tax rate to be meaningfully lower in 2016 due to our outlook for increased revenue outside the U.S. We continue to have that expectation. While the first quarter rate was unusually low, we believe that modeling our full year tax rate in the mid-30% range would make sense with the caveat that the final outcome will depend on the regional sources of our revenue and related earnings for the year. Looking at our capital management and balance sheet activity, our dividend this quarter was again $0.45 per share. During the quarter we repurchased approximately 300,000 shares of our common stock equivalents and settlement of tax liabilities upon vesting of restricted stock units. The timing of additional share repurchases will depend on the amount and timing of revenue this year, but as Scott said, our goal remains to return over time all the way to a flat share count relative to the time of our 2004 IPO. We ended the quarter with cash of $56 million and a revolver balance of $55 million, again in our usual position of having a global cash balance in excess of our revolver balance. Note that during the first quarter we again renewed our annual revolving credit agreement and we expanded our borrowing capacity of $70 million given that we expect increased cash generation overseas and would prefer to avoid repatriation of that cash. Also after the quarter ended we repaid the remaining $11.25 million of the first tranche of the term loans related to our Cogent acquisition last year. One last item to note is that for accounting purposes we will likely soon take a write-down on our Australian subsidiary balance sheet of the goodwill associated with our 2010 Australian acquisitions. This move has no impact on our parent company balance sheet, our income statement or our bank credit agreements, but we want to provide a brief explanation to avoid any confusion when our subsidiary files it accounts locally. You may recall that we acquired this business for all stock in 2010 when our shares were near all-time highs and businesses like ours were valued at much higher multiples than today. So the initial headline value reflected the fact that we paid for the business in shares that were then valued at about eight times revenue. With a write-down we will effectively be taking the value on the regional subsidiary balance sheet down to better reflect what turned out to be the real cost of the business to us, also reflecting where market valuations across the sector has moved in recent times. This move is for local accounting purposes only and says nothing about how we see our Australian business. We continue to believe that acquisition was an important strategic move for our firm and that our timing the deals in our structure and particularly the use of the highly valued stock were all good moves. And we worked through all the math, we feel like we acquired the business at a very reasonable valuation given that a significant portion of the earn out on that acquisition was not paid and that we repurchased in the open market all the shares used in the acquisition at prices far lower than they were valued at in the acquisition. Now let me turn it back to Scott.
Scott Bok: In closing, I'll touch briefly on senior-level recruiting. I had said on our last quarterly call that we expected to recruit several managing directors to the firm this year and that continues to be our expectations, thought [indiscernible] manned up with more or fewer than that depending on what opportunities develop. Currently, the focus of our discussions is the North America principally in adding more industry sector specialists who will bring us both new capabilities and relationships. We will likely be making some hiring announcements in that regard soon. Longer term, it is worth noting that we believe that the prospects for continued senior recruiting remained good as weak financial results and heightened regulatory uncertainty continue to pressure the big banks. There has been a lot of change our industry in recent years, but it feels like the strategic changes occurring in European banks as well as some regional banks and other industry participants are even greater today than they were during the height of the financial crisis. Those changes are leading many senior advisory focused bankers to rethink whether they are at the right place to pursue a long-term career in the advisory business. We believe and the prospective recruits often tell us that our focused business model, our global platform, our long history and most importantly our collegial culture all make us an appealing new home to consider. And with that, we're happy to take some questions.
Operator: [Operator Instructions] Our first question today comes from Dan Paris from Goldman Sachs. Please go ahead with your question.
Dan Paris: Hey, good afternoon guys, thanks for taking my question.
Scott Bok: Sure.
Christopher Grubb: Hey Dan.
Dan Paris: I just want to make sure I have the math right on the revolver, so it is right that you had drawn $40 million of the $50 million facility at the end of the year and now you've drawn $55 million of the new $70 million number, is that the right math?
Scott Bok: Yes, that's right, yes.
Dan Paris: Okay, and have the terms on the commitment changed, the interest rate increased?
Scott Bok: Not materially, we'll file everything with the Q as we typically do, but there is no meaningful change in the terms.
Dan Paris: Okay, and then is the plan to still repay the Cogent term debt as it comes due?
Scott Bok: Yes, if not even a little faster, there is not that much left of it, but yes, obviously no later than when that's due, next payment is out in October.
Dan Paris: Okay, got it. And I think one of the reasons you pointed to for increasing the line was to avoid repatriation of foreign cash. Can you give us a sense of how much of it, much cash is currently abroad and what is the minimal level you are comfortable with running in the U.S.?
Scott Bok: I don’t know if we want to really get into that detail and I don’t happen to know off the top of my head exactly where - which accounts the various cash is in today, but we have said on the last call, I mean and even the ones before that and certainly we’re reiterating them today that we do have a significant pipeline of quite large transactions, but a fair number of them have a European component. So while we had, by our own admission throughout last year a very challenging year in terms of revenue outside U.S. this year looks quite different to us and we just thought ahead of the fact that we could well end up building up significant cash overseas and that we want to just increase the line a little bit to be able to essentially have an offsetting amount of debt here, the same way Apple does was about 600 on the balance sheet, but…
Dan Paris: Fair enough. Maybe just one more if I could sneak in on a different topic. You guys have historically been one of the bigger cross-border advisors at least when I look at it as a percent of the deal volume and deal count, any thoughts that you have on the new tax conversion rules and if there is broader implications for kind of the earning stripping piece?
Scott Bok: I don’t think there is going to be a material impact on our business. I mean if you look back at our entire history, there are very few inversion transactions where we had any involvement, of course there were hundreds of them for the entire market, right, they are relatively small number of deals and look there other ones we were exploring. But the companies find different ways to consolidate based on whatever opportunities are available and so this was not the inversion transaction per se was not a big business for us if you want to think of it that way, there just were not that many of them and so we don’t expect a big impact from those going away.
Dan Paris: Okay, thanks for taking my questions.
Operator: Our next question comes from Devin Ryan from JMP Securities. Please go ahead with your question.
Devin Ryan: Hey thanks, good afternoon guys. Just a couple of quick ones here, I guess maybe first on the comp expense and this thing about the comp ratio, I mean should we think about the comp expense this quarter about is low as it can go in the absolute just in kind of this revenue environment. I'm just curious because if you could have flexed it more why wouldn’t you to the extent your full year view sounds pretty positive and the comp ratio in the full year is expected to be lower than last year?
Scott Bok: Well, look, we just think it is all going to get worked out over the course of the year and as Chris noted in his written comments, perhaps even already as of next quarter and obviously when you are setting comp, one quarter is only a quarter and especially the first quarter of the year always isn’t blended together with anything else and you have to be mindful of how you think revenue is going to evolve over the course of the year you have to be mindful about what level of comp does it take not just to pay people base salaries, but to reward people and retain them. So I think I know it looks a little high this quarter certainly in percentage terms, but I think it is going to quickly remedy itself.
Devin Ryan: Got it, okay, great. And then just with respect M&A announcements obviously I get that they’re going to be streaky and you had a nice run at the end of last year, so maybe a little bit of a slower pocket here recently, and it sounds like there is quite a bit going on behind the scenes that you alluded to, so maybe we are going another streak here soon. I'm just curious, is there anything that you'd point to that has been holding back deal announcements, has it been the backdrop or is it just more a function of just the specific deals that you are working on? And then I'm just curious, because there is obviously a lot of other kind of industry events you touched on Brexit in Europe or just the things in the U.S. as well, so I'm just curious if there is anything you'd kind of point to that, you had maybe held deals back that you thought would have been announced earlier in the year?
Scott Bok: Well, I think there is always as I often say a fair amount of randomness in terms of deal timing and sometimes you can have - we announced more deals in the month of December than we did in any month in our history and then in January almost no deals got announced. So there is obviously a little bit of randomness that causes things to bunch up in one month versus another. But I think if I look at the broader industry data and see how low the level of announcement activity was particularly in January and February, I think with the volatility which I think caught everybody off guard, whether you look at hedge fund performance or what's happened to asset managers or what's happened at IPOs or what happened in the high-yield financings. So I mean clearly the market volatility took a lot of people by surprise and I think and faced with that kind of environment a lot of times companies will say I don't need to announce that deal this week or next week. Why don’t we wait and see how this pans out? And that's partly why we're feeling pretty good about things because clearly the month of March was quite different in terms of markets and they've kind of pretty well seemed to have largely healed themselves, although I would still say the credit markets are not as robust as they were say a year ago.
Devin Ryan: Got it, okay, that's helpful. And then just lastly on restructuring I guess, speaking of things we can't necessarily get a great handle on from the outside. Can you give me additional perspective around how mandates there are tracking, I know there probably a little more activity, but any perspective maybe in the amount of mandates today relative to a year ago or just some additional contacts we can think about, how busy you guys are there relative to the other periods since it's harder for us to track?
Scott Bok: It is always hard to do that, I know some firms are – taken those sort of accounting assignments and things like that, but these restructuring assignments tend to be very long in most cases. They are complicated and we've always tried not to categorize M&A versus restructuring because there is such a blending of the two. So many restructuring deals end up as M&A. In a distressed market many M&A deals are effectively a form of restructuring, certainly in the energy market in the time to come I think. So I can tell you restructuring is busy or more active by a long shot than it was one or two, or three years ago because it was pretty dead in that period with extremely low default rates and we are feeling good about that business. This year, I think, we and probably a lot of our peers will see a lot of that in terms of increased retainers probably over the course of the year, I mean this is the nature of these things as they take a long time to close. So I suspect even if you got signed up on a new restructuring today, most likely you are looking at a success fee that will fall in the next year. But it is a positive factor in our business right now the increase in restructuring activity.
Devin Ryan: Got it, great. Actually maybe just one more quick one with respect to China, there has been a lot of activity this year of deals coming out of China for obvious reasons, but is clearly representing a much bigger portion of the overall M&A market. So I'm just curious is that something that Greenhill can participate in? I know that historically there has not been a lot of activity in China, but is that a theme that you think could be a positive for Greenhill as well?
Scott Bok: You know, it probably will not be a huge one. We've done some things about cross border between Europe in particular and China and some between the U.S. and China. So yes, it has some impact and I realized on the first quarter there were a few more deals than typical. That's probably the one bright spot in the M&A market was out of China. But it still is a relatively small M&A market in terms of the fee opportunity that is there. And so, as I have always said, I've no doubt eventually we will be there with some kind of meaningful presence, but I continue to think that the opportunities are far greater in the U.S. and Europe and Australia and Japan and Brazil even in admitted turmoil than they are in China. And frankly the deal that was kind of announced and called off in a very abrupt and unusual way with just a reminder that working with state owned Chinese companies or state-controlled companies is quite different from working with a typical Fortune 500 American companies. So I don't think we want to dive headfirst into working with companies we don't have a lot of familiarity with.
Devin Ryan: Got it, understood. Thanks Scott, I appreciate it.
Scott Bok: Thank you.
Operator: Our next question comes from Brennan Hawken from UBS. Please go ahead with your question.
Brennan Hawken: Thanks for taking the question. I actually just had a quick follow-up on the last one on comp. I just wanted to clarify because I got a couple of questions from investments on this. You guys said that you want to do award performance in the quarter and that was why the comp ratio was higher, but can you help us understand why not wait until the revenue comes in to accrue for that because we're so early in the year, it is mostly just accrual anyway. It is only salaries and benefits that are going out in cash right now. So, just, I just I’m confused about the mechanics of it and may be its just that I am not understanding.
Scott Bok: Look, again I just think it’s one quarter yet you could do and that’s all, but our largest competitor Goldman Sachs the revenue fell 40%, the comp deal fell 40%. So, I see you can do that, but in a way that’s really understating what your real comp deal is going to be because if you have four identical quarters, you couldn’t live with that and frankly they could live with compensation that low. So, we try to set comfort level we think was appropriate from all the perspectives including what it takes to keep, employees focused and incented, and as I said I think it’s going to quickly resolve itself and it will look pretty normal as time goes on here.
Brennan Hawken: Okay, that’s fair. Thanks Scott. And then on another just clarifying question, it’s seems like you said that short term debt was up $10 million. I might have not heard correctly. Really we should think about that $55 million of the current short term revolving debt as like for like would be $40 million last quarter right? Is…
Scott Bok: That’s correct and I think that's what the other caller, I think it was Dan Paris who asked that question just comparing the revolver draw down at year end versus the first quarter and you are right that went up about $15 million in a related exactly to this phenomenon of cash sitting overseas and wanting to have offsetting borrowings here.
Brennan Hawken: Yep, got it, the 30,000 share buyback for tax liabilities, is that something that you guys, it’s just sort of structurally embedded into the comp structures and so that was a very specific event there. It seems like you added that language very intentionally. So I just wanted to clarify that and given that you’re sitting with short term debt roughly equal to cash here at quarter end and you guys like to have that sort of the four and you have got this debt payment you just made. so I mean we should temper our expectation for buybacks from here?
Scott Bok: I think, as I said buybacks will really track in closings, I mean if we had, a huge level of closings in second, you might see some buybacks, but if toward the end of the second quarter, then likely it will be beyond that. I still think over the course of the year we see a significant opportunity and like we want to buy stock back as soon as we can because it is usually cheaper to do it that way, but we will wait and just look at the exact timing of when cash comes in the door because you are right, we don’t want to lever up and so we'll manage the balance sheet accordingly.
Christopher Grubb: And I guess Brenan, just to clarify, 300,000 shares and I think if you look at our first quarter call scripts going back last couple of years we have this language in there and based on when the shares are awarded, the tax settlement traditionally occurs in the first quarter, so this is very standard.
Scott Bok: Exactly, there is tiny amounts later in the year we don’t bother to put into the kind of the headlines at the beginning of the press release, but this is the time we obviously won a lot of stock – that's for people and we as a normal course just do the tax withholding payment.
Brennan Hawken: Yep, okay great. Then last one for me just to clarify it sort of a bit of a geeky accounting question here. Sorry, but the impairment that you had walked through Chris, in your prepared remarks, does that have any impact on Greenhill's book value, the book value that we will see when you guys report second quarter results.?
Christopher Grubb: No, it doesn’t impact anything that you will see working at the parent company, financials, balance sheet, ratio or anything in that regard. It is purely at the subsidiary local level where those give up.
Scott Bok: And I'll just add, I think realistically, very likely neither you or almost anybody else would have even noticed this and it really doesn’t have – it's one of these accounting things that doesn’t really seem to have any subsequent impact at all. But, just like in the UK and other markets where people, private companies, private subsidiaries have to file accounts we thought, there might be some local commentary on it that would filter back, so we thought we just preempt and answer the question that you just asked which is no, it has no impact on the peer at all.
Brennan Hawken: Yep, great, thank you.
Scott Bok: Okay, thanks.
Operator: Our next question comes from Steven Chubak from Nomura. Please go ahead with your question.
Steven Chubak: Hi, good afternoon.
Scott Bok: Hi.
Steven Chubak: So Scott, is the revenue guidance that you've given is pretty bullish. Just by the recent declines in the public backlog, I recognize that sometimes it's difficult to get the full extent of visibility. But I’m thinking in terms of the timing for the reminder of the year, should we expect that revenue list to begin to show up as early as 2Q? And again more specifically, how does Brexit risk can form review on the potential for possible delays in closings heading into the upcoming quarter?
Scott Bok: I think I mean, pretty clearly we’re signaling that you could well see a lot of this in Q2. I made the statement I did about the first half revenue versus last year. Now obviously, we have to carry out, you never know, but if you listen to the public commentary about when various deals will close we will see some important things happen in the second quarter. On Brexit, just to be very clear, I don’t see that is impacting any completions. I think the announcement of new deals I mean obviously has announced a deal put the financing in place for the time being and announced so you do these things. For a new deal that you thought you were going to announce a week before the Brexit vote and finance it two weeks after the Brexit vote. Some companies may well choose if they – I don’t want to have that hanging out there, the movements in currency and availability of lending, et cetera. So I’m going to wait and announce it after the Brexit vote. I’m not at all convinced that the outcome of that vote will defy them to call off the transaction. I just think it’s the kind of thing that people like to have stability in markets when they’re going to get financing and so I think you'd probably not want to have say a bridge loan for example hanging out over that book.
Steven Chubak: Thanks Scott. It is extremely helpful color and maybe just switching gears to a moment and I suppose you are addressing the elephant in the room, there has been lots of attention paid to the risk of how you guys potentially having to cut the dividend, reassuring to see you guys commit the dividend in the release. But given what has happened to the share price, I’m just wondering whether you've considered cutting it to a level that is maybe more readily supported by the near term earnings outlook and which theoretically would enable you to still maintain a leading dividend yield versus the peer group?
Scott Bok: Well on the dividend, I would say when some analysts started sort of aggressively asking the question can the dividend be maintained? We've paid out about $250 million in dividends since then. That conversation has gone on for several years. We said that we are going to keep paying our dividend, but we have a typically of higher profit margin most of our peers and again our profit margin different from most of theirs and then it includes all GAAP cost, there is no cash cost like severance or recruiting and other things they are not included there. So our profit is real profit, you can add to that plus the stock we payout is non-cash cost generates lot of cash flows. So we’ve been comfortable paying the dividends. We’re certainly not encouraged because some people think we will to sort of create some sort of adjustment in the yield or something like that. We’re going to keep – we’re going to keep paying it out and eventually people are going to realize that we’ve paid out $300 million or $350 million or some point along the line, people are going to say okay, get the dividend really is here to stay. So we remain quite confident in that, but we understand the shares don’t fully reflect that. So unlike there is an opportunity, but we will have to let the market decide.
Steven Chubak: Great, thank you very much. That’s it from me.
Scott Bok: Okay.
Operator: And our next question comes from Vincent Hung from Autonomous Research. Please go ahead with your question.
Vincent Hung: Hey, how is it going?
Scott Bok: Very well, thanks.
Vincent Hung: My first question is what are the Cogent revenues this quarter?
Scott Bok: Well we don’t break those out because that is all part of our capital advisory [indiscernible] even that we don’t breakout except once a year, but they did well as I indicated and they had remarkably consistent performance for the four quarters that we've owned that business.
Vincent Hung: Okay and on the M&A environment, can you talk about the mentality of buyers and sellers today versus let’s say the past few quarters, has that changed at all and do you get the sense that there is probably more of an openness to things like old share mergers?
Scott Bok: I think the interest – strategic interest in M&A is a high it has been maybe is even getting better number last year than business was really dominated by mega transactions that kind of skewed the overall volume statistics. I still think the private equity part of the M&A business is pretty slow. You don’t see a lot of going private transactions driven by private equity funds, but the business of one public company buying all or part of another public company in order to consolidate its industry continues to be quite strong and that is kind of our outlook for the foreseeable future.
Vincent Hung: Okay. Thanks.
Scott Bok: Okay, thank you and I think that is our last question. So we thank you all for joining and we will speak to you next quarter.
Operator: Ladies and gentlemen, the conference has now concluded. We do thank you for attending. You may now disconnect your telephone lines.